Operator: Greetings, and welcome to The Liberty Braves Group Q4 and Year End 2024 Earnings Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Cameron Rudd, Vice President, Investor Relations. Cameron, please go ahead.
Cameron Rudd: Good morning. Before we start, we'd like to begin by reminding everyone that on today's call, management prepared remarks may contain forward-looking statements.
Terry McGuirk: Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ from those discussed today. A number of factors could cause actual results to differ materially from those anticipated, including those set forth in the risk factor section of our annual and quarterly reports filed with the SEC. Forward-looking statements are based on current expectations, assumptions, and beliefs, as well as information available to us at this time and speak only as of the day they are made, and management undertakes no obligation to update publicly any of them in light of new information or future events. During this call, we will discuss certain non-GAAP financial measures, including adjusted EBITDA. Full definition of these non-GAAP financial measures and reconciliation to the comparable GAAP financial measures are contained in the Form 10-K earnings press release available on the company's website. Now, I'd like to turn the call over to Terry McGuirk, Chairman, President, and CEO of The Liberty Braves Group.
Terry McGuirk: Good morning, and welcome to The Liberty Braves Group fourth quarter and full year 2024 earnings call. We are excited about the 2025 season where spring training is well underway in Northport, Florida. I've spent some time in camp watching our team prepare, and I am impressed by what I've seen. Our players arrived at camp on February 11th, ready to work hard and compete for another World Series ring this season. With opening day only 29 days away, our entire business and baseball operations teams are working hard to make sure we are ready both on and off the field. We kick off the season on March 27th in San Diego, and we will welcome fans for the home opener at Truist Park on April 4th when we take on the Miami Marlins. We welcomed All-Star outfielder Jurickson Profar to the Atlanta Braves last month. He was one of the top free agents on the market, and we can't wait to see him in our lineup every night. We're excited to get our top talent back this season following injuries last year. Namely, Ronald Acuna, Austin Riley, Spencer Strider, Michael Harris, Ozzie Albies, and Sean Murphy are all healthy and well on their way to being back on the field. We feel that with so many of our players returning, we are starting the season with a fresh roster and lineup, which positions us well to compete deep into October. We remain confident in the talent up and down our roster and our ability to compete and win at the highest level. This July, we will host the Major League Baseball All-Star Game, where we will showcase Atlanta, Truist Park, and the Battery Atlanta to baseball fans around the world. It is a tremendous honor for the Braves to be selected as the host team. Our leadership and staff are working tirelessly alongside MLB to ensure we provide fans with the best possible experience here in Atlanta. We set out each and every year to achieve the same goal: to compete for and win the World Series. We are excited about the year ahead both on and off the field. We continue to work hard to ensure that we provide a world-class experience in the ballpark and the Battery Atlanta for all fans. And as always, we hold ourselves to the highest standards to benefit our fans, our partners, and you, our shareholders. And now I will turn it over to Derek Schiller and Mike Plant who will walk you through the results from the quarter.
Derek Schiller: Thanks, Terry, and good morning to all. I'd like to touch on a few recent updates since our last quarterly call. First, as we look to the start of the season, we're in an excellent position. Reemergence from bankruptcy into a new entity, Main Street Sports Group, is an important development for the Braves. While I'm not getting into specifics of the partnership, we are pleased with the outcome and gain stability in the FanDuel Sports Network. And certainty for our family's ability to watch Braves games throughout our territory. As part of this partnership, FanDuel Sports Network acquired the streaming rights with the Atlanta Braves and will, for the first time, get a stand access to stream games through its FanDuel Sports Network app. The goal has always been to increase the viewing opportunities for our growing fan base, and we believe this new partnership does exactly that. In addition to our broadcast partnership with FanDuel, we announced in December a multi-year partnership with Gray Media. Beginning this year, Gray Media will independently produce and screen training games, and also simulcast 15 regular season games alongside FanDuel Sports Network. This partnership makes Braves baseball even more available, allowing fans throughout Braves country to watch games on TV. Gray Media is the nation's largest owner of top-rated local television stations and digital assets and represents a first-of-its-kind experience for fans to access Braves games through a new platform. Overall, the FanDuel Sports Network and Gray Media partnerships will lead to increased leadership opportunities for our fans. Most importantly, we are excited that this will allow everyone across Braves country the ability to view our games for the very first time. Turning now to some updates on Truist Park and the surrounding area, in November, we reaffirmed our dedication to our youngest fans in Braves country with the new Children's Healthcare of Atlanta Park. Located in the left field plaza between Truist Park's left field gate and third base gate, this 30,000 square foot family space will measure over two times the size of the existing open-wheeled sandlot. The new Children's Healthcare of Atlanta Park will open on game days and be accessible in the Battery Atlanta for non-game day events and activities. Inside Truist Park, we are excited to announce a new food hall named the Outfield Market, which will be populated with some of the top offerings from across the region. This is another example of our commitment to providing the best-in-class experience for our fans here at Truist Park. Next, I'd like to turn the call over to Mike Plant, President and CEO of Braves Development Company, to discuss updates to the Battery.
Mike Plant: Thanks, Derek. I wanted to start by saying we continue to be incredibly proud of the Battery Atlanta. In 2024, the Battery saw a total of 8.7 million visitors throughout the year, helping to generate more than $130 million of retail revenue for our tenants. On average, our visitors frequented the Battery over 2.4 times with an average dwell time of 165 minutes per visit. While metrics were impacted by three fewer Braves home games, as well as two fewer concerts at Truist Park in the fourth quarter of 2024 compared to the prior year, we are encouraged by the year-over-year growth. Notably, the Battery Atlanta is a flagship destination even outside of baseball games. Unlike nearly all other professional sports venues, we have benefited from the Battery Atlanta being a year-round attraction that draws visitors regardless of the season. As an example, for our New Year's Eve celebration, we hosted over 46,000 visitors in the Battery Atlanta, highlighting its appeal to our fans and the city of Atlanta. The Battery Atlanta continues to attract top brands and franchises, and our footprint and access to fans give us a unique advantage as we look to partner with tenants. This quarter, we announced that Shake Shack will be coming to the Battery, featuring the first full bar in the United States, and Walk-On's Sports Bistro, co-owned by former NFL quarterback Drew Brees, is set to open in the Battery this summer. We're also nearing the completion of the 250,000 square foot Five Ballpark Center, which will soon serve as the national headquarters for Truist Securities here at the Battery Atlanta. The facility features a 42,000 square foot trading floor and will accommodate roughly 1,000 new employees coming to our campus. We also expect Truist Securities to begin its occupancy in the first half of 2025. And with that, I'll turn things over to Jill Robinson to discuss the company's financials.
Jill Robinson: Before I begin, I want to remind everyone that a majority of our revenue is seasonal and is aligned to the baseball season. Given our final 2024 home game was in the third quarter, we did not have year-over-year comparable revenue in the fourth quarter. Total revenue was $52.1 million and $662.7 million in the fourth quarter and full year 2024, respectively. This was down from $67.7 million in the fourth quarter of 2023 but up from $640.7 million for the full year 2023. The quarterly decline was driven mainly by the absence of any home games or concerts in the fourth quarter of 2024, compared to three home games, including postseason, and two concerts held in the fourth quarter of 2023. As a reminder, the company manages its business based on the following reportable segments: Baseball and Mixed-Use Development. For baseball, revenue was $595.4 million in 2024, up from $581.7 million in 2023. This revenue increase was driven by a combination of baseball event revenue and broadcasting revenue. Baseball revenue increased due to new sponsorship agreements and contractual rate increases on season tickets, partially offset by reduced attendance at regular season home games. Broadcast revenue increased due to contractual rate increases. Mixed-use development revenue was $67.3 million in 2024, up from $59 million in 2023, and was primarily driven by increases in rental income and parking revenue. Our full-year adjusted OIBDA increased to $39.7 million in 2024, an increase of $1.9 million as we increased revenue from our various operations, including increased player salaries and a larger revenue share expense. In the fourth quarter, adjusted OIBDA improved to negative $3.8 million, up from negative $13 million in the fourth quarter of 2023. Improvement was due to a reduction in baseball operating expenses, including player salaries and off-season trade activity. Our operating loss improved to $18.6 million in the fourth quarter of 2024 as compared to an operating loss of $32.4 million in the fourth quarter of 2023. For the full year 2024, our operating loss improved to $39.8 million as compared to an operating loss of $46.4 million in 2023, primarily due to an increase in revenue. As of December 31, 2024, the company had $110.1 million of cash and cash equivalents. Nearly all of our cash and cash equivalents are invested in U.S. Treasury securities, other government securities, or government-guaranteed funds, AAA-rated money market funds, and other highly rated financial and corporate debt instruments. And with that, operator, let's open the line for questions.
Operator: Certainly. We'll now be conducting a question and answer session. First question today is coming from Ben Swinburne from Morgan Stanley. Your line is now live.
Ben Swinburne: Thanks. Good morning, everybody. Maybe I wanted to touch on two topics. One is on your local media rights and that business in 2025. And the other sort of on maybe capital structure and kind of the balance sheet. So, you know, going into 2025, you've got an agreement with FanDuel TV. You talked about the streaming rights for the first time being made available. You have your deal with Gray. You kind of put all that together, maybe strategically? What does that mean for the business? And then financially, is this a new structure that should impact broadcasting revenue growth one way or the other in 2025 versus the trend lines we've been seeing? And I just wanted to confirm that this FanDuel agreement continues to run through 2027. I don't know if that changed as part of the restructuring activity last year. Then I'll just throw out my balance sheet question, maybe probably for Derek. Is this the right, like, how do you guys think about capital structure? And is this sort of the right level of debt for the business? Are you looking to try to delever over time? Are you trying to get to free cash flow positive? Any thoughts there would be helpful. Thanks so much.
Derek Schiller: Hey, Ben. Thank you very much for the question. Yeah. So on the topic of media and local media specifically, I would say we feel like we remain in a very strong position. Obviously, the reemergence of Main Street Sports from bankruptcy we see as a net positive. It also gave us the opportunity to reengineer that deal slightly. And, you know, the reengineering of that deal really relates to creating more accessibility of our games for our fans. So that's done in a couple of different ways. The first and foremost of which is by adding streaming opportunities into that deal. So that wasn't previously in that deal. So now we have streaming coupled with the traditional linear distribution of those rights. So those things coupled together mean that theoretically, everybody inside of Braves Country has the accessibility to see our games. And this is a good reminder and good time to remind you that we have one of the strongest, if not the strongest, home television territories in all of Major League Baseball. So, you know, we're now able to penetrate effectively that entire marketplace. The other reengineering gave us the ability to go to an over-the-air partner, which is what we talked about with the Gray Media deal. So that deal is important because it also gives us further accessibility of those games to more people. That's done in a couple of different ways. We actually have our first spring training broadcast with Gray tomorrow, and we'll have ten total spring training games. So you have a lot more spring training games available to our fans. And then going into the regular season, we have fifteen games that we will be doing as simulcast. So all of that together means there's more ways for our fans to view our games, follow our content, and ultimately that's of benefit to our fans and to the business. As far as capital structure, I'll turn to Jill who can probably give you a little bit of highlight on that one.
Jill Robinson: Ben, would you mind repeating your question about capital structure?
Ben Swinburne: Yeah, you know, your company is a unique public company as a professional sports team with real estate assets, and so we don't have a lot of comparables to think about kind of the right level of debt and whether generating positive free cash flow as I think about cash from operations less CapEx is an important priority for the company. So just trying to get a sense for if you guys are comfortable with the structure you have today and the financial profile, if you'd like to see less debt over time or anything you could share would be helpful.
Jill Robinson: Yeah. So I would break our debt into two categories. The debt that's associated with the real estate assets, which is all tied to construction on the assets in the Battery. Obviously, that is all secured debt, and we're comfortable with where we are there. And then on the baseball side, our goal is slightly different, and our goal on the baseball side is really to maintain as much liquidity as possible. We feel like having borrowing capacity available to us allows us flexibility to invest in the team, invest in the stadium, in an opportunistic manner as we move forward. So to answer your question, yes, we're comfortable with where we are.
Ben Swinburne: Gotcha. Thank you, Jill.
Operator: Thank you. Next question is coming from David Joyce from Seaport Research Partners. Your line is now live.
David Joyce: Thank you. I was wondering what else you can do on the development front within your, yeah, the footprint of what you have there surrounding the park. And what can you do on concert venues? Yeah, I guess it would be mostly in the park either in season or outside the season. Houston, you did call out that you didn't have any in the fourth quarter. I was just wondering, yeah, what's the opportunity set there? Thanks.
Mike Plant: Hey, David. This is Mike Plant. Thanks for your question. Look, we've said this in many years in the past here that we have some undeveloped land that is still available, and we remain opportunistic about opportunities that come to us. Truist Securities, the headquarters, is a great example of that. It brings, as I said earlier, up to 1,000 new employees to this campus. And through our efforts, we continue to see new opportunities. Shake Shack is a great example of that, bringing an incredible brand to our campus and the Battery. So look, I think we've demonstrated over the last eight years that we are very attractive because of the year-round use, the year-round impact that we create. And we'll continue to look at opportunities as they come our way. And it's Derek. I'll touch on the concerts, and I'll frame this more in non-game day events. We're going to be very aggressive in trying to get as many non-game day events at our ballpark and, in fact, in and throughout the Battery as possible. Some of that's just timing with concerts, for example, it has everything to do with tour routing and schedules and what concerts are out on tour on that particular year, that particular month. So it's going to be a little bit randomized from year to year. But overall, our non-game day event business is extremely strong. And in fact, some of the master plan projects that we've talked about and touched on, in addition to helping with the business of the baseball team and the Braves for baseball game purposes, they also are important for non-game day use. So we're looking at the return on investment with both of those things and feel very strongly about the outlook for non-game day events.
David Joyce: Great. Thank you.
Operator: Thank you. Next question is coming from Barton Crockett from Rosenblatt Securities. Your line is now live.
Barton Crockett: Okay, great. Thanks for taking the questions. And yeah, I was curious about some thoughts on the broadcasting rights environment. You know, I know you addressed kind of the local, but I'm interested in the national. Which I guess is still kind of in process, but, obviously, there's been some press reports that, you know, ESPN may be walking from its deal. And, you know, there's some thought that, you know, maybe the national rights for MLB are overpriced and will have a downward trajectory. And I was just wondering if you could address your thoughts on that. Do you think of that as a possibility, something you need to prepare for, and just some sense of the exposure of you guys to those national TV contracts and how you think about it would be interesting. So that's one question. And then a completely different subject, I was just wondering, there's been a lot of kind of talk about the off-season trade moves. You guys have been quiet. Some of your competitors have been very active. You know, if you could address some of the, you know, I guess, worries that, you know, maybe you've been too quiet. But also in terms of the P&L, you know, what we should think about in terms of player salaries for the year.
Terry McGuirk: Okay. This is Terry responding. So the ESPN, MLB breakup is getting really outsized public scrutiny. I really think that from the Atlanta Braves standpoint, this is a non-event. It will have no effect whatsoever on our economics. Obviously, MLB has had its own comments on this, but I would just make the observation that I think the market is going to be surprised at the enthusiasm and uptake on the interest in these sets of rights that are coming available for next year. And I know that the interest is very strong, and I'm sure you'll hear more from Rob Manfred on this in the coming weeks. Second question, if I remember it correctly, was where are we on salaries. And we have always been, over the last three or four years, a top ten salary organization in how we deploy that in baseball. And we expect that to be the same again this year. We have crossed the competitive balance tax each of the last two years. It's possible we could do it again this year. That is a consideration as a strategic element, but it isn't in our top two or three issues when we come to how we spend our salary levels. You know, Alex Anthopoulos has always had the resources to do what he needs to do to put a championship group on the field. I see no different situation this year. We have some dry powder. We monitor the available talent field every day, 24/7, 365. This year, there are a tremendous number of free agents that still are out there in the marketplace. Just as an example, last year, we signed Adam Duvall on March 17th. So who knows exactly how this spring training shakes out from a salary standpoint, but I think from, you know, the generalizations I gave you of being a top ten salary organization going forward is exactly where we will be.
Barton Crockett: Okay. Thank you.
Operator: Thank you. Next question is coming from Matt Harrigan from The Benchmark Company. Your line is now live.
Matt Harrigan: Thank you. We've seen some remarkable spikes in social media engagement for sports as disparate as NBA and Formula One, and it hasn't necessarily equated to higher linear viewing. And maybe younger demographics in particular have the attention span of a goldfish, although maybe insulting to goldfish. And then certainly, you've got people who are literally monitoring games on betting apps if there are prop bets or just to bet on the game. So it conveys a lot of interest in the NBA or MLB or whatever, but it doesn't necessarily monetize in an old-school model. You know, how do you go about addressing that? This is kind of a behavioral change on the part of fans. Then secondly, I asked you last time on the call about what you're doing on the international side to contribute to the popularity of the sport there. And I know the Braves clearly have a big international following, but any thoughts on that as well would be welcome. Thank you for taking my questions.
Derek Schiller: Thanks, Matthew. I'll be happy to answer those. So on the social media front, and really media consumption as a whole, I'll sort of reiterate a little bit of what I said before relative to our local rights approach, which is to the extent possible, we want to try to create the maximum accessibility of our content throughout our available territory. And again, we have one of the largest territories in all of pro sports. So our opportunity is quite large. So I think part of what you're seeing in our approach to the local media is really a relationship to exactly what you're alluding to. It's trying to find the fans wherever they are and give them the maximum accessibility to our games. Specific to social media, I would say our approach is rather robust. Like a lot of professional sports teams, we meet our fans where they are. And so whether that's on Instagram or Facebook or wherever our fans are, that's what we're generating content towards. We have, in fact, some content that's launching on YouTube and have used YouTube as examples for that. So there's going to be a lot of ways that we reach out to fans across a wide spectrum of the media landscape, and there's a lot of disruption and things that are occurring on that. It relates to international development, actually, you know, somewhat relates to this particular topic, and that is to the extent possible, we try to get to our fans again wherever they are, and in the case of social media, they're coming from all across the United States and the world. We have extremely large followings that are coming to us from all those different international places. And I think this is a little bit of a continuation of, quite frankly, how the fan base has emerged way back when we were on TBS as a superstation. So we enjoy the benefit that you could find us all across the country and the globe as a result of that. And then as far as baseball goes, there's a significant international development approach with baseball. The World Baseball Classic is just one example, but there's a lot of things that are going on, and this is probably a good time to remind everybody on the call we're hosting the All-Star Game this year. So this is all eyes of the baseball world, the sports world will be descending upon Atlanta and Truist Park come July 15th. So this is a perfect opportunity to showcase all of what we do and how we do it and hopefully garner more fans as a result.
Matt Harrigan: But if someone's following the particular players, it's betting on games, is there a lag in monetizing that direct-to-consumer engagement? Like, can you get more advertising on that over a period of time because it feels like there's a free rider effect for some people who aren't watching the TV broadcast, just to be persistent.
Derek Schiller: Yeah. I mean, look, not everybody is going to sit down and watch a 2.5-hour or 3-hour game. So to the extent possible, developing content that's short form in nature is something that we need to do, we've been doing. You know, baseball has done a really good job of giving our players tools directly that help them shape social media opportunities in addition to what we do at the team level. So I think those things will continue to emerge and develop, and hopefully, when somebody's following us in a social media setting that might be short form, they become a bigger fan of the team and ultimately will follow our content to the extent possible on a long-form basis.
Matt Harrigan: Thanks, Derek. I hope you have a great season.
Derek Schiller: Thank you.
Operator: Thank you. We've reached the end of our question and answer session. I'd like to turn the floor back over to Derek for any further or closing comments.
Derek Schiller: I just want to thank everybody for joining us today. As a reminder, we have a lot ahead of us. I think we're 29 days to March 27th, the opening of our season. Thirty-seven days to April 4th when we have our first home opener for the season. And of course, as I mentioned, July 15th, the All-Star Game comes to Atlanta. Thank you, everybody, for joining the call. We look forward to hearing from you and seeing you next time.
Operator: Thank you. That does conclude today's teleconference webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.